Operator: Good morning, ladies and gentlemen, welcome to the Agilysys Fiscal 2015 Fourth Quarter and Full-Year Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. Some statements made on today’s call will be predictive and are intended to be made as forward-looking within the Safe Harbor protection of the Private Securities Litigation Reform Act of 1995. Although the Company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause results to differ materially. Important factors that could cause actual results to differ materially from these in the forward-looking statements are set forth in the Company’s report on Form 10-K and 10-Q and the news releases filed with the Securities and Exchange Commission. I’d now like to turn the call over to you Mr. Jim Dennedy, President and CEO. Please go ahead sir. Thank you, Candice, and good morning everyone. We appreciate you joining us on the call today to review our fiscal 2015 fourth quarter and full-year results. Joining me today is our Chief Financial Officer, Janine Seebeck. Before we get started, just a quick reminder that on the call today we’ll be discussing some non-GAAP metrics, primarily adjusted operating income from continuing operations, adjusted income from continuing operations, and adjusted EBITDA which eliminates the effect of restructuring and other items that are either non-cash or non-recurring. Reconciliations to GAAP metrics are provided in the financial section of the press release issued earlier today. I'll start with a brief overview of our financial results. Total net revenue for the fourth quarter was $28.7 million compared with total net revenue of 27.8 million in the comparable prior year period. Full year net revenue increased $2.2 million or 2% to $103.5 million compared with $101.3 million in fiscal 2014. It is important to highlight that recurring revenues which are comprised of support, maintenance and subscription services reached a quarterly record of $14.5 million in the fiscal fourth quarter compared to $14.1 million for the same period in fiscal 2014. Recurring revenue also rose on a full-year basis increasing 5% to $56 million for the full fiscal year 2015 and representing over 54% of fiscal 2015 net revenue. Recurring revenue is important because we flex the businesses underlying stability and strength. Our recurring revenue provides for an improved visibility and the future financial performance while offering clear evidence of the success of our strategic focus on building long term relationships with our customers. Gross margin was 51% in the fiscal 2015 fourth quarter, compared to 60% in the prior-year period. For the full year, gross margin was 58% compared to 63% in the prior year period. Adjusted operating loss from continuing operations for the fourth quarter was $1.4 million compared to a gain of $1.1 million for the same period last year. Adjusted loss from continuing operations for the full year was $2.3 million compared with adjusted income of $4.1 million in fiscal 2014. This led to a loss from continuing operations in the fiscal 2015 fourth quarter of $5.4 million or a loss of $0.24 per diluted share compared to a loss in continuing operations of $700,000 or a loss of $0.03 per diluted share in the prior year period. And on a full year basis, loss from continuing operations was $11.5 million compared to a loss for full year of fiscal 2014 of $2.9 million. Janine will review our financial results in more detail including the impact of one-time items such as asset write-offs and other fair value adjustments. During fiscal 2015 we implemented several tactics to help us execute on our strategy. In particular, over the course of fiscal 2015 we have brought in a number of improvements to our capabilities and operations which we believe better align our organization with our strategic goals and our strength of the business relationships with our customers. These changes are critical to helping Agilysys transition from a traditional product sales, license and maintenance relied business to a subscription services revenue model and we are confident it will generate longer term shareholder value to growth in higher margin recurring revenue, in particular subscription services. Some of these organizational changes include integrating our product marketing organization and product development activity with the product management team, a natural move that better aligns product development with market and competitive challenges. We believe this will help grow the partner eco system [ph], strengthen our sales management [ph] and to achieve faster and even more successful product launches. And we're forming a new operations team to consolidate contract administration, business operations, accounts receivable, the containment [ph] of options in a single team to better align responsibilities and priorities and ultimately improve our ability to quickly and actively quote, deliver, invoice and collect. With respect to our sales force we ended fiscal 2015 with 22 [indiscernible] sales people, 10 of which are focused exclusively on new book of business. Of our now 30 sales people, 18 joined in the last year and of those all have been sales executives covering either hospitality industry or directly selling SaaS solutions. We expect to add 4 additional sales executives in fiscal 2016 and our focus is on getting executives that have direct SaaS selling experience. Over the coming quarters, we are confident that our go-to-market employees will help us increase our footprint and in hotel, resort and cruise sector, improve our effectiveness in the gaming sector and expand into new market sectors such as fine dining, table service and quick casual restaurant sectors. In addition, we expect to development opportunities with new logos across all markets we serve and better equip the team to sell subscription based solutions, all with the angle to better serve our customers, develop our team in order to add more value to our business. Also to address an opportunity we see to make our services business a more strategic part of our revenue mix, we promoted Rehan Jaddi to Senior Vice President of Customer Support and Solution Services. Many customers recognize our Company for delivering peer leading deployment and support services. We are investing in our services business to deliver more strategic and higher value solutions to our customers. We are moving beyond the delivery and component technology deployment to managing the overall projects to which our technology serves innovation [ph]. We expect these organizational changes will promote a more efficient and better decision making, align our cost structure with our revenue plan, position us for future growth and better leverage our talent to support our strategic goals. Over the last three years we have made consistent progress towards our goal around simplifying our business, evolving our offerings and delivering against the milestones of our next generation platform. This progress is particularly evident in a number of the new business wins over 225 in fiscal 2015 and the growth in major releases and new titles since early 2012, which includes 16 major releases and four new titles. Our new business wins have not only been significant in number, but they have also been across a diverse array of our solutions as well as the sectors in which our clients operate in. Taking a more in-depth look at each of our business sectors starting with the commercial and tribal gaming, this sector represents over 55% of our revenues. Our new business wins in this vertical includes Leech Lake Gaming, a tribal casino operator with three properties across Minnesota including the Northern Lights Casino and Hotel, Palace Casino and Hotel and White Oak Casino, who selected InfoGenesis and Visual One to support all three properties. Our hotel, resorts and cruise sector also saw some important wins including Resorts introduction of Stratton Warren System, our comprehensive inventory to our new processes and reduced costs at the 480 units [ph]. Additionally, Harbor Winds Hotel in Sheboygan, Wisconsin, launched the rGuest Stay property management system and rGuest Pay, payment gateway solution to streamline operations and halve efficiency while Palm Garden Hotels went to the Visual One property management system and Visual One sale indicator to streamline efficiency and handles guest service delivery at the 150-room property. And regarding rGuest Stay we are pleased that the historic 55 [indiscernible] Hotel in San Francisco had a one of kind Boutique hotel at Montreal selected rGuest Stay to help them manage these two world class hotel properties. Looking at the foodservice management sector, which is another segment in which we have a very strong market we are pleased with our expanded relationship with Compass Group North America as leader in foodservice management support services which became the first foodservice management customer to implement the InfoGenesis Flex Mobile Point-of-Sales system combined with the rGuest Pay payment gateway application. Additionally City Towers Auxiliary Services [ph] selected Eatec and InfoGenesis to streamline its foodservice operations. Part of the State University of New York system SUNY Cobleskill has nine campus dining facilities that serve more than 3500 meals each day. Moving on to restaurants, university, stadia and healthcare or RUSH, we see continued to remain and an increased need for more sophisticated dining experience including online ordering and reservations, mobile service and a higher level of customer interaction. New business wins in this sector include the Cask & Barrel an Indo-American tapas-style restaurant and bar in Columbus, Ohio, which selected a comprehensive software solution suite to streamline operations and enhance guest services and the Farmers Restaurant Group of Washington D.C. which selected WMx to increase efficiency and streamline operations at its four restaurant locations. More recently, Life Time Fitness, a chain of high-end business centers and health products across the United States and Canada selected rGuest Analyze, our business intelligence and data analytics product to further leverage the customer information across their business, beauty, food and beverage and childcare operations at their more than 110 locations. Fiscal 2015 was also a productive period on the product side as we continue to evolve scope and sophistication of our offering while aligning our go-to-market approach with our strategy. While the benefits and full potential of our strategy may not be reflected in our financial results just yet, we remain confident based on the evidence we see in these results that we are making progress towards achieving our longer term goals and bringing to market updates for our current products that will help transition customers to our next generation of rGuest platform. For example, recently a large university customer upgraded to the latest version of InfoGenesis. As a part of the upgrade the customer transitioned from a license and maintenance customer to subscription services. This transition enabled them to shift the management and application infrastructure to Agilysys and transitioning to a subscription services customer we were able to increase the annual recurring fees associated with point-of-sale services. In addition, this customer also bought a subscription to rGuest Pay and rGuest Analyze. The combined effect of these actions resulted in a nearly doubling of the recurring revenue contribution from this customer. The rGuest platform products, including the recently released rGuest Pay, rGuest Seat and rGuest Analyze solutions provide enhanced capabilities to further drive business for our customers and revenue for our company by integrating with all Agilysys and most non-Agilysys products. Early feedback indicates the substantial new product investments we have made are on target with market needs and desires. We expect the ongoing rollout of our additional next-gen rGuest solutions, such as rGuest Stay and rGuest Buy, will help us continue to grow our already strong market share in the gaming and managed food services sectors while enabling us to expand our presence in the hotels, resorts and cruise, and RUSH hospitality sectors. To highlight our new product launch success rGuest Pay which launched in the second quarter of fiscal 2015 provides an attractive value proposition for hospitality and operators looking for a payment gateway solution for both property management and point-of-sale products that is PCI validated for point-to-point encryption of cardholder data and has low volume tiers or transaction minimums [ph]. We are pleased with the initial performance of rGuest Pay and look forward to continuing the rapid rollout of this exciting product including the recent adoption by an upscale hotel in San Francisco as well as a decision earlier this year by the [indiscernible] in Las Vegas to install rGuest Pay across its 2900 plus property on the Las Vegas strip. Today more than 70 customers have selected rGuest Pay with approximately 40 of those bookings taking place during the fourth quarter and we have a strong pipeline for future installs. We also continue to make progress with rGuest Stay, which is our cloud-based property management solution offering instant scalability, operational efficiency and reduced technology footprint and the ability to upgrade capacity without business interruption. While the initial release of rGuest Stay is especially beneficial for small to mid-sized properties, we have designed this system to support larger hotels, destination resorts and complex casino properties. And of course we continue to adhere to our core [indiscernible] of maintaining strong capital and operational discipline and pursuing the highest value growth opportunities. We continue to make progress involving our product portfolio to better address our customers' current needs, transform our sales efforts and organization to better serve our customers and make consistent progress with the development of our next-generation platform. With that, I would now like to turn the call over to our CFO, Janine Seebeck, who will review our financial results before opening the lines for questions. Janine?
Janine Seebeck: Thanks Jim, and good morning everyone. Our fourth quarter fiscal 2015 revenue was $28.7 million, a 3% increase compared to a total net revenue of $27.8 million in the comparable prior year period. Full year revenue increased $2.2 million or 2% to a $103.5 million compared with fiscal 2014. Top line results reflect the impact of the various organizational changes implemented throughout the year, but negatively impacted our near-term product sales revenue related to on-premise sales. In spite of the near-term impact of our strategy to focus on selling new logo and subscription based revenue, we are confident that this strategic change is beneficial to our long-term growth objectives and it better positions us to accelerate the growth around our higher margin recurring revenue business. As Jim highlighted, it is important to note the encouraging trends in our recurring revenues which are comprised of support, maintenance and subscription services. Our effort to focus on the high margin business led to quarterly record revenues of $14.5 million or 51% of our total net revenue for the fourth quarter. For the year recurring revenues increased 5% to $56 million or 54% of total net revenue. A vital part of recurring revenue are SaaS based revenues, which increased 8% on a quarterly basis and a 11% on a year-over-year basis. Moving down the income statement, overall gross margin fell to 51% for the fourth quarter of fiscal 2015 compared to 60% in the prior year period. On a full year basis, gross margins decreased to 58% compared to 63% in fiscal 2014. The gross margin decline for the fiscal 2015 fourth quarter was due to the impact of certain lower margin hardware sales as well as increased labor costs associated with a large customer commitment. Gross margin for the full year was also negatively impacted by the start of amortization expense representing approximately $1.3 million for our developed technology compared to approximately $300,000 in fiscal 2014. We believe that the issues which impacted professional services gross margin in the second half of fiscal 2015 should not be repeated. As such, and in spite of the amortization around our developed technology beginning to impact our margins as our newest products go into service, we expect fiscal 2016 overall gross margin will be consistent with fiscal 2015 levels in the high 50% range. Operating expenses, which include product development, selling and marketing, general administrative and depreciation expense increased by 5% to $20.2 million in the fourth quarter compared to the prior year period. Fiscal 2015 operating expenses increased 3% to $72.5 million versus the full year fiscal 2014. As a percentage of net revenue operating expenses were 70% for the fourth quarter versus 69% in the prior year period and 70% in the full year fiscal 2015 compared to 69% in the full year fiscal 2014. As expected product development expense increased by 1% to $6.6 million in the fourth quarter of fiscal 2015 compared with the fourth quarter of fiscal 2014 as we continue investing in engineering resources and research and development initiatives. For the full year product development expenses were flat at $25.3 million. We expect product development expenses as a percentage of revenue to be in the mid 20% range through fiscal 2016. Sales and marketing costs increased to $1 million or 26% in the fourth quarter of fiscal 2015 compared with the fourth quarter of fiscal 2014. On a full year basis, sales and marketing expenses increased 16% to $16.4 million. The increases were due to the continued implementation of our sales strategy, as we continue to invest, align and ramp our sales force to better serve our customers and our long-term strategy. G&A increased 1% for the fiscal fourth quarter of 2015 versus the prior year and increased 4% for the full year as a result of increased spend during the first half of fiscal 2015 surrounding the ongoing efforts to streamline and rationalize our back office processes. Our fiscal 2015 fourth quarter and full year financial results include the impact of some non-recurring items, including $1.8 million in non rGuest product related asset write-offs and other fair value adjustments as we determined that the carrying amount of certain assets and liabilities would no longer yield significant future cash flows to support their carrying values. The write off included a $1.5 million asset write-off around Elevate our point-of-sale system for any single pass environment due to a shift in customer preference for next generation offerings with more features and compatibility as compared to this internally used asset, a $1.4 million asset write-off around InfoGenesis Mobile, the android mobile version of InfoGenesis point-of-sale as it was determined that the remaining net book value exceeded its net realizable value, with customers still being able to enjoy a full mobile point of sale experience through IG Flex, and a $600,000 asset write-off around Eatec. As certain restructuring activities incurred to better align product development, sales and marketing and general administrative functions impacted the expected remaining use for life of the products under the Eatec trade name, which was determined to have a finite life and subsequently written down to its fair value to be amortized over five years. These changes were offset by a gain of $1.6 million recorded in fiscal 2015 to adjust the carrying value of the TimeManagement Corporation contingent consideration to fair value as a result of a decrease in expected revenues associated with the contingent consideration. This will impact the balance sheet as long-term assets are reduced by the write-off and stockholders equity is reduced as a result of the write-offs included in the income statement. This led to an operating loss in the fourth quarter of $5.6 million or a loss of $0.25 on a diluted share basis, compared to a loss of $2.6 million or an $0.11 loss per diluted share in the fourth quarter of fiscal 2014. For the full year, operating loss was $12.5 million or a loss of $0.56 on a diluted share compared to a loss of $6.2 million or a loss of $0.28 for fiscal 2014. And on an adjusted basis we reported an adjusted operating loss from continuing operations of $1.4 million in the fourth quarter compared to a gain of $1.1 million in the year ago period, and adjusted loss from continuing operations of $2.3 million for the full fiscal 2015 compared to a gain of $4.1 million for full year fiscal 2014. Adjusted loss from continuing operations in the fourth quarter was $1.5 million or a loss of $0.7 per diluted share compared with adjusted income from continuing operations of $1.8 million or $0.8 per share last year. For the full year adjusted loss from continuing operations of $2.5 million compared to a gain of $4.8 million for fiscal 2014. This led to a loss of $0.11 per share for full year fiscal 2015 compared with a gain of $0.22 per share last year. Moving to the balance sheet and cash flow statement, cash and marketable securities as of March 31, 2015 totaled $75.1 million compared to $99.6 million at March 31, 2014. The decrease in cash reflects the cost of our July 2014 acquisition of technology supporting the launch of our rGuest Seat product, as well as approximately $16 million in spend for ongoing product development investments. While we continue to invest in our next-generation platform we are maintaining our fiscal discipline on running the business as evidenced by the positive adjusted operating cash flows from continuing operations generated in fiscal 2015. As we continue to invest in the transition to a SaaS company and the rGuest platform this year we expect to end fiscal 2016 with approximately $50 million in cash. Net cash used in continuing operations was $2.2 million compared to net cash provided by continuing operations of $1.4 million for fiscal 2014. Adjusted for non-recurring items, net adjusted cash provided by operations for fiscal 2015 was $900,000 compared to $3.2 million in the prior year period. In terms of our NOLs, we currently have a $170 million on our books for which we can attribute a full valuation allowance and which will help us remain liable for just taxes paid in foreign jurisdictions along with minimal state taxes for the foreseeable future. With regard to our assets for fiscal 2016 we expect full year revenue to be slightly higher than fiscal 2015, largely as a result of the ongoing transition in our operations throughout fiscal 2016 to a SaaS oriented business model. In addition, given the change in nature of our business, we believe that adjusted EBITDA is a better representation of cash flows from operations than adjusted operating income. Going forward, we are introducing this concept as part of the guidance section. We expect gross margins to be consistent with full fiscal 2015 levels in the high 50% range and adjusted EBITDA will show incrementally greater profitability than fiscal 2015 adjusted EBITDA of $1.2 million. While the revenue growth will reflect the emphasis on subscription services revenue, the greater EBITDA expansion will come primarily from lower operating expenses. In this morning's press release we provided a reconciliation table of adjusted EBITDA to net loss or income for each of the fiscal 2015 quarters and the full-year period. In closing, we are encouraged by the early success around our initiatives and our consistent progress in growing the percentage of higher margin subscription revenue as part of our overall business mix. With a healthy balance sheet including approximately $75 million in cash and cash equivalents and no debt we have the financial flexibility to support our business both organically and by investing in our people and our products. With that, let's open the call up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Stan Berenshteyn of Sidoti and Company. Your line is now open.
Stan Berenshteyn: Good morning. Thanks for taking my questions.
James Dennedy: Good morning Stan.
Stan Berenshteyn: Janine, can you please repeat, you said that for 2016 year end, how much did you project the cash balance to be?
Janine Seebeck: Approximately $50 million.
Stan Berenshteyn: Okay, and when can we expect the professional services margins to kind of return back to historic levels, will it be a gradual thing, will it be sudden next year?
Janine Seebeck: So, we think that the impact that we saw in '15 should have basically be done at the end of '15, I expect we'll have slightly lower margins in the first quarters, but we expect will be by second, third quarter kind of back at that high 20s or 30 range.
Stan Berenshteyn: Okay, and was there anything in particular that contributed to the strong product sales that we saw in the quarter end?
Janine Seebeck: So, consistent with prior years we have seen we did have one large hardware deal that did impact the results. Obviously that had an impact on margin as well, but nothing else that would have been material.
Stan Berenshteyn: So it wasn’t really a seasonal thing, it was just also a one-off just happened to the thing factored in?
Janine Seebeck: That's factored in.
Stan Berenshteyn: Okay. Can you also Jim, can you give us an idea of the typical length of an upgrade cycle for your clients?
James Dennedy: In terms of the sales cycle or in terms of the new the new subscription engagement that they would sign?
Stan Berenshteyn: New subscription engagements?
James Dennedy: So, the new subscription engagements generally range from a three to a five-year contract with most contracts going out with a five-year request and most of our contracts are signed up for a five-year subscription services arrangement.
Stan Berenshteyn: Okay and how much of anticipated sales growth from rGuest do you expect to come from existing clients versus new logos?
James Dennedy: From existing clients we expect they will adopt the rGuest Pay Analyze, Seat products. Many will also select the rGuest Buy product. So rGuest Buy is starting out sort of a kiosk based re-envisioning of a terminal. Customers who adopt rGuest Buy do not need to change their backend InfoGenesis engine. It will still work with their backend InfoGenesis engine. We see many of our customers in our installed base adopting those components of the new rGuest platform. Most of the new logo business will come from adoption of the rGuest Stay product. The customers who are on let's say Visual One or Lodging Management System we still have some development work to complete yet this year on the rGuest Stay product before it reaches future scale parity with the LMS and Visual One application.
Stan Berenshteyn: Okay. Can you may be give us some color in terms of a dollar amount, how much of the incremental dollar gains that we see on the subscription service is coming from new logos versus existing clients just upgrading to the rGuest platform?
James Dennedy: Sure and looking at year-over-year results '14 to '15 the total number of new logos has more than doubled year-over-year. In terms of how that breaks down between subscription and traditional, the traditional new logo business has been relatively constant year-over-year. Our new logo subscription business has increased by more than five-fold year-over-year. So the majority of the new logo business we're seeing are our subscribers as opposed to traditional maintenance [indiscernible].
Stan Berenshteyn: Okay. Right, all right thank you.
James Dennedy: Yes sir.
Operator: Thank you. [Operator Instructions] Our next question comes from Phil Bernard of Eilers Research. Your line is now open.
Phil Bernard: How are you doing guys? One quick question. With the completion of the rGuest platform how do you guys see CapEx going forward in 2016?
James Dennedy: Sir as we indicated in Stan's question we have continued development work around rGuest Stay to reach feature and scale parity with our TMS product, LMS and Visual One. We also see some continued investment around the rGuest Pay product, customers really value what we've offered in the rGuest Pay product and they are asking for it to do more in terms of deeper integration with their transactional systems. The rGuest Buy product the next-gen point-of-sale was re-envisioned that terminal, its initial concept was to be guests facing, guest self ordering with kiosk and mobile apps. The intuity [ph] design customers are asking for increased investment to see a guest service associates UI improvements of their employees with the better UI experience that's similar to that which we are providing on a kiosk there or mobile self ordering. Finally, we see continued requests for deeper investment in the rGuest Seat product. What competitors offer on table management or online table reservation products is a stop at some point of the sharing of that data on the reservations side with the property and its integration to the point-of-sale or transactional systems. And what our customers are asking for and what they wanted a long time for the markets is deeper integration with their transactional systems so they can align guest spend and with exactly who the guest is and right now that information is a little bit blocked by current competitors in the market. So that request for additional insight in the guest buying behavior and guest paying behavior is driving an increased CapEx spend in this year as we continue to evolve those products. Year-over-year it is definitely comparable but slightly less and fiscal '16 it was fiscal '15 levels.
Phil Bernard: Great, thank you guys.
Operator: Thank you. [Operator Instructions] And our next question comes from Stan Berenshteyn of Sidoti & Company. Your line is now open.
Stan Berenshteyn: I just had a quick follow up. One on client upgrades to the new rGuest platform, what kind of incremental revenue gains do you expect to see on a percentage basis, so for every one dollar that they spend historically after they upgrade what kind of incremental revenue gain can we expect?
James Dennedy: Stan that's a great question, and the example we provide with this University example. They went from InfoGenesis [indiscernible] to InfoGenesis hosted or subscription. The lift on just the point-of-sale services was in the 45% to 50% range. The opportunity is as they move to that subscription services and to the broader platform, the additional layered revenue services we can provide in particularly this customer selecting the payment product as well as the analytics product to apply top of their point-of-sale services helped us almost double the recurring revenue contribution from this particular customer. Important to note is that while they went from a license and maintenance paying relationship to a subscription. When they moved to that subscription, they also signed up for five-year deal for all three components.
Stan Berenshteyn: I see, and now just final question, when you have new logo wins what kind of typical package of rGuest options do they tend to buy as a norm, rGuest Seat, rGuest Pay, or rGuest Stay, what's the combinations?
James Dennedy: It's kind of varied by sector. So, as we indicated in the hotel, resort, and cruise, those customers who adopted the rGuest Stay product your North Hill [ph] property, they and others they selected both the rGuest Stay as well as the payment product. In the restaurant or in the F&B environment food and beverage environments you'll see a combination of the point-of-sale services along with typically payment and the table management product Seat as well as the Analyze. So there is a combination of products that are targeted for each sector and we have, let's say a power package offering where it’s a value proposition sector depending on what they are likely buying preferences, food and beverage versus hotel operations.
Stan Berenshteyn: Can you maybe give an average of how many rGuest solutions per client are sold on average?
Janine Seebeck: Stan it's Janine. I think it's a little bit too early for us to average what we obviously trying to sell between more than three I think as we're early in this stage it is too early to assess how that will fall in average that with regards to the different sectors having different needs.
Stan Berenshteyn: Okay, great, thank you.
Operator: Thank you, and I'm showing no further questions at this time. I'd like to turn the conference back to Mr. Dennedy for closing remarks.
James Dennedy: Thank you, Candice. As always, thank you for your interest and for your investment in our Company. We believe Agilysys continues to make progress as we focus our resources on the highest value opportunities and our chosen end markets and manage the business for the longer term to deliver sustainable value to our shareholders and our customers. In closing, I want to take this opportunity to thank the very talented and dedicated team at Agilysys. Their work drives our success. I also want to thank our many customers and partners who entrust us with their business. I look forward to updating you on our progress on our fiscal 2016 first quarter call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may now disconnect. Have a great day everyone.